Operator: Welcome to Nexxen International Ltd.'s fourth quarter earnings call. At this time, participants are in a listen-only mode with a question-and-answer session to follow at the end of the presentation. This call is being recorded, and a replay of today's call will be made available on Nexxen International Ltd.'s investor relations website. I will now hand the call over to Billy Eckert, Vice President of Investor Relations, for introductions and the reading of the safe harbor statement. Billy, please go ahead.
Billy Eckert: Thank you, Operator. Good morning, everyone, and welcome to Nexxen International Ltd.'s fourth quarter earnings call. During today's call, we will discuss our financial and operating results for the three and twelve months ended 12/31/2025 as well as our forward-looking guidance. With us on today's call are Ofer Druker, Nexxen International Ltd.'s Chief Executive Officer, and Sagi Niri, the company's Chief Financial Officer. This morning, we issued a press release, which you can access on our IR website at investors.nexxen.com. During today's conference call, we will make forward-looking statements. All statements other than statements of historical fact could be deemed as forward-looking. We advise caution in reliance on forward-looking statements. These statements include, without limitation, statements and projections regarding our anticipated future financial and operating performance, market opportunity, growth prospects, strategy, and financial outlook. These statements also include, without limitation, statements regarding our partnerships and anticipated benefits related to those partnerships, anticipated benefits related to the company's intended growth and platform investments, forward-looking views on macroeconomic and industry conditions, as well as any other statements concerning the expected development, performance, and market share, or competitive performance relating to our products or services. All forward-looking statements are based on information available to us as of the date of this call. These statements involve known and unknown risks, uncertainties, and other factors that may cause our actual results to differ materially from those implied by these forward-looking statements, including unexpected changes in our business or unexpected changes in macroeconomic or industry conditions. More detailed information about these risk factors and additional risk factors are set forth in our filings with the U.S. Securities and Exchange Commission, including, but not limited to, those risks and uncertainties listed in the section entitled “Risk Factors” in our most recent Annual Report on Form 20-F. Nexxen International Ltd. does not intend to update or alter its forward-looking statements, whether as a result of new information, future events, or otherwise, except as required by law. Additionally, the company's press release and management statements during this conference call will include discussions of certain measures and financial information in IFRS and non-IFRS terms. We refer you to the company's press release for additional details, including definitions of non-IFRS items and reconciliations of IFRS to non-IFRS results. At this time, it is my pleasure to introduce Ofer Druker. Ofer, please go ahead.
Ofer Druker: Thanks, Billy. I am pleased to report that we met our updated full year guidance and are seeing strong momentum in early 2026. In Q1 to date, contribution ex-TAC and programmatic revenue are trending ahead of our initial expectation following the strongest January and February in our history. This performance reflects the payoff from infrastructure investments made in 2025 to support long-term programmatic trading growth, as well as our ability to form new and expanded partnerships with leading DSPs driven by our differentiated CTV media assets and data. These efforts, along with our strategic differentiation, continued innovation, and a favorable advertising backdrop featuring incremental growth catalysts like the Winter Olympics, FIFA World Cup, and especially the U.S. midterm elections, position Nexxen International Ltd. for a strong 2026. In 2025, we meaningfully upgraded our infrastructure and expanded platform scale, roughly doubling SSP capacity. This positions us to better monetize publisher relationships and support growth in 2026 and beyond. We also increased focus around our enterprise solutions and plan to continue doing so. Over the past several years, we have enhanced our combined DSP and data capabilities through innovative new solutions and deeper AI integration to fuel enterprise adoption. In 2025, we saw early results and expanded on these efforts by adding experienced talent across our go-to-market and product teams and shifting internal sales resources towards our enterprise offering. This combined initiative led us to more than double our enterprise customer base in 2025. We plan to expand these efforts in 2026 to capitalize on the strength of our unique enterprise solutions built on proven technologies developed over the years. While enterprise growth is a long-term process, we believe now is the right time to invest to capture the vast opportunities ahead. Additionally, as AI reshapes how consumers engage across the open internet, we invested in expanding into less-affected formats that offer strong growth potential and revenue durability through exclusive smart TV home screen partnerships and scaled mobile in-app relationships. In 2025, we announced the launch of what we believe is the industry's first programmatic smart TV home screen advertising solution, providing scaled programmatic access to home screen inventory on CTV OEMs. I would like to provide some background, as this type of CTV media has not historically been available for programmatic activation. When a user turns on their smart TV, they land on the operating system home screen, which presents them with a menu of apps and content to consume. According to Nielsen, viewers spend an average of about ten minutes per day on this screen deciding what to watch, making it a highly visible and valuable surface. Until now, advertising space on this page has been sold and managed through direct deals and ad servers. Our innovations transform this surface into a fully programmatic advertising opportunity. It creates a significant new growth channel for advertisers using the same programmatic workflow they already rely on, while enabling OEMs to monetize their home screen inventory more efficiently and effectively. Vidaa, which rebranded as V, is a CTV operating system for Hisense and other OEM brands, and is our first OS partner to adopt this technology, which is now integrated across V-powered devices globally. As announced by The Trade Desk last week, we are pleased to welcome them as our first strategic DSP partner to adopt the solution following an agreement between V, The Trade Desk, and Nexxen International Ltd. to bring this inventory into The Trade Desk Ventura ecosystem. Together, we are collaborating to establish standardized DSP capabilities and drive industry awareness. We have strong conviction in this partnership, believe it is fundamental to building a new ecosystem for programmatic smart TV home screen advertising, and are proud to work with The Trade Desk to bring this opportunity to their vast global customer and partner network. By working directly with the leading enabler of programmatic advertising on the open internet, we believe we can accelerate awareness and adoption of our solution, support industry standardization, and enable trading across both our customer bases. We view this as a pivotal milestone in expanding high-quality programmatic advertising on the open internet through a new, engaging channel that is more resistant to AI-driven disruption. V’s footprint combined with programmatic activation creates a compelling opportunity for advertisers to drive brand impact and ROI. Our V partnership also continues to drive data momentum as we jointly market ACR data in North America and globally. In Q4, we entered a licensing agreement with Yahoo DSP, expanding our TV data partnership with major DSPs, which already included platforms like The Trade Desk and StackAdapt. Together, our smart TV media assets, proprietary data, and strategic partnerships reinforce our ad tech leadership while strengthening our opportunities with brands, agencies, and leading DSPs. In 2025 and early 2026, we partnered with leading mobile in-app ecosystem players to support long-term growth, diversification, and revenue durability with strong early results. Mobile in-app remains a strategic focus, as it is less exposed to AI-driven disruption than browser-based traffic. According to eMarketer, over 80% of mobile ad spend occurred in apps in 2025, and mobile is expected to account for over two-thirds of total digital ad spend by 2027. To capitalize on this shift, we built infrastructure to scale in-app media, enabling us to support growing supply and demand in a channel with strong tailwinds. We will continue enhancing our mobile in-app capabilities and will pursue new and expanded partnerships in 2026 to build on our progress. Next.AI continues to evolve across our platform and is receiving strong client feedback. Customers are achieving better results with less effort while unlocking new capabilities. Our DSP assistant is delivering efficiency gains of up to 97% and satisfaction scores over 90%, helping users act on real-time insights faster while improving outcomes and usability. Our Discovery assistant is also driving operational savings, with some clients reporting reductions of up to 45% in audience research time. Through Next.AI, we are building a difficult-to-match AI advantage across our DSP, SSP, and data platform by streamlining workflows and enhancing supply chain-wide performance, positioning us to win larger enterprise budgets. In 2026, our AI investments and releases will focus on driving growth and generating scalable cost benefits. We are introducing Next.AI to our SSP to optimize publisher performance and revenue. On the DSP side, we will continue integrating our insights and segmentation tool, Discovery, with our DSP so audience data flows directly into our buying platform, supporting accelerated enterprise adoption. Finally, our DSP assistant will expand to include AI-driven QA and campaign troubleshooting, automatically flagging errors to reduce waste and maximize buyer budgets. Internally, Next.AI is becoming more embedded across our sales operations, product, and data teams, driving efficiency and cost savings. AI-assisted coding is accelerating development, enabling faster release of revenue-generating solutions while reducing prior investment needs, freeing up capital for specialized data and AI tools. We have continued releasing solutions designed to capitalize on sector growth trends and major 2026 advertising events. The health vertical has emerged as a growth engine following the release of Nexxen Health, with new measurement and optimization capabilities introduced in Q4 2025, including the first-to-market auto-allocate feature powered by Phrama/health partners. This allows advertisers to optimize spend in real time using real-world health signals and verified outcome data, improving targeting and full-funnel performance, and reinforcing Nexxen International Ltd. as a leading health DSP. We plan to continue investing in vertical-specific solutions to drive growth across additional sectors. We also launched Nexxen Sports in Q4, combining large sports inventory with data-driven insights, targeting, retargeting, and dynamic creative. This solution helps brands drive engagement during live events while enabling advertisers to reach consumers beyond the live window, positioning Nexxen International Ltd. for the biggest live sports advertising year on record, highlighted by events like the FIFA World Cup. Finally, our political advertising solutions position us to capture spend during the 2026 U.S. midterm elections, which we expect to be a major cycle, especially for CTV. While still early in the year, we are very encouraged by our strong start to 2026 and what it signals about the direction of the business. Our momentum validates the strategic decisions made in 2025 and the quality of the product offerings we have built and acquired over the past several years. It also highlights our progress in building a more diversified and durable revenue base as the industry adapts to AI-driven disruption. Our differentiators, including our end-to-end model, V partnership, home screen solution, and platform-wide data and AI integration, are creating growing competitive advantages. Our DSP is now deeply integrated with our exclusive data and media, positioning it to expand our end-to-end enterprise revenue opportunity. This combination is already helping us win larger budgets and deliver stronger outcomes for advertisers and publishers, and we expect scaling benefits in 2026 and beyond. We remain focused on execution and innovation to drive sustainable growth and strengthen our leadership as we help define the future of programmatic advertising. With that, I will turn the call over to Sagi Niri.
Sagi Niri: Thank you, Ofer. Before I discuss Q4, I want to remind listeners, as noted in our Q3 earnings call, that results were impacted by several factors. These factors included reduced spending from one DSP customer amid their FPO initiative, softness in our non-programmatic business line, more competitive CPMs, tariff-driven reductions from certain partners, and the absence of political advertising spend compared to Q4 2024. While non-programmatic weakness has persisted and some customers remain cautious due to tariffs and seasonality, I am pleased to report that contribution ex-TAC and programmatic revenue to date in Q1 are trending ahead of our initial expectations, driven by broad-based strength across our programmatic business line. The impact from the DSP customer also appears isolated to Q4. The customer has increased its year-over-year spend with us so far in Q1, and based on this trend and our ongoing discussions, we believe they will contribute positively to our expected growth in 2026. In Q4, we delivered contribution ex-TAC of $97.8 million, reflecting a 7% year-over-year decrease, or a 1% decrease ex-political. Programmatic revenue was $94.3 million, down 4% year over year but up 2% ex-political. Despite this decline, we saw strength in data products and desktop video, along with growth across our health, business, and finance verticals. In contrast, contribution ex-TAC from our non-programmatic business line declined by approximately $3 million year over year. We also experienced year-over-year decreases in CTV, mobile video, and display alongside reduced spending within our retail and government verticals. CTV revenue declined 19% year over year in Q4, or 12% ex-political, to $30.1 million, as results were impacted by several of the factors I mentioned, particularly the DSP customer. Importantly, we are not seeing a negative CTV revenue impact from these customers to date in Q1, and we feel well positioned for CTV revenue growth in 2026 and beyond through the catalysts Ofer discussed. We continue to believe CTV will represent the core long-term growth engine for Nexxen International Ltd. Elsewhere in Q4, desktop video revenue increased 21% year over year, mobile video revenue declined 9%, and overall video revenue represented 72% of programmatic revenue. Contribution ex-TAC from data products increased 51% year over year, self-service contribution ex-TAC declined 5%, and contribution ex-TAC from PMPs and display each decreased 9%. For full year 2025, our contribution ex-TAC retention rate declined to 92% from 102% in 2024. This primarily reflects our decision to discontinue smaller customer relationships that were not generating meaningful contribution ex-TAC, allowing us to focus on larger customers with greater spend potential. Contribution ex-TAC per active customer, however, increased to approximately $563,000, reflecting a 7% year-over-year improvement. We believe we remain well positioned to grow both our retention rate and ex-TAC per customer over time through continued focus on driving full-stack enterprise adoption. Adjusted EBITDA for Q4 was $33.9 million, representing a 35% margin as a percentage of contribution ex-TAC. We remain confident in our ability to expand margins over time through contribution ex-TAC growth, increased enterprise adoption and end-to-end spending, disciplined cost management, and anticipated benefits from our AI initiatives. In Q4, we generated $37.7 million in net cash from operating activities compared to $52.3 million in Q4 2024. As of December 31, we had $133.3 million in cash and cash equivalents, no long-term debt, and $50 million available under our undrawn revolving credit facility. Non-IFRS diluted earnings per share was $0.33 in Q4, compared to $0.48 in Q4 2024. We repurchased 1,440,000 shares in Q4, investing approximately $10.8 million. From March 2022 through 2025, we repurchased approximately 38.5% of our outstanding shares, investing roughly $258.2 million. As of February 28, approximately $2 million remained under our current repurchase authorization, and a new program of up to $40 million has been approved to begin after the current program concludes. Following our additional $20 million of investments in V in Q3, we will invest another $15 million in Q3 2026. Once deployed, we expect to hold an approximately 6%, or $60 million, equity stake, making us the largest shareholder outside of Hisense. Alongside the anticipated benefits from our commercial agreement with V, we continue to expect attractive long-term returns on our investment, which we view as an underappreciated component of our story. This year, we plan to leverage our investment to expand retailer relationships and grow its North American CTV footprint, which we believe will enhance the long-term value of both our data and ad monetization exclusivity, as well as our equity stake. We believe our investment in V provides multiple paths to future value creation for Nexxen International Ltd. and its shareholders. In addition to share repurchases and increasing our reinvestment, we will continue exploring strategic opportunities to accelerate programmatic revenue growth and strengthen our CTV, data, and mobile in-app capabilities. With that, I will turn to our outlook. For full year 2026, we expect contribution ex-TAC in the range of $375 million to $390 million, representing over 8% year-over-year growth at the midpoint, and programmatic revenue in the range of $370 million to $381 million, representing approximately 10% year-over-year growth at the midpoint. Programmatic revenue is expected to continue extending as a percentage of total revenue as we actively evaluate strategic options for our non-programmatic business line and deliberately shift our mix towards higher-growth, higher-quality revenue. In 2026, we expect growth across enterprise self-service, data products, and CTV, driven by focused sales execution, our expanded partnership with V, and growing adoption of our programmatic smart TV home screen solution. We also expect adjusted EBITDA in the range of $122 million to $132 million, representing approximately 33% at the midpoint of our contribution ex-TAC and adjusted EBITDA guidance. As I mentioned, contribution ex-TAC and programmatic revenue have trended above our initial expectations to date in Q1, driven by broad strength within our programmatic business line. We believe this momentum is sustainable, supported by the anticipated payoff from infrastructure investments made in 2025 to scale platform capacity, our extension within mobile in-app, our V partnership, growing adoption of our smart TV home solution, and deeper expected penetration with enterprise customers. In 2026, we expect OpEx as a percentage of contribution ex-TAC to decrease modestly from 2025. Research and development is expected to remain relatively consistent as a percentage of contribution ex-TAC, depreciation and amortization and sales and marketing are expected to decrease slightly as percentages of contribution ex-TAC, and G&A is expected to increase as a percentage of contribution ex-TAC. We also anticipate stock-based compensation will rise. We will continue investing in data, technology, infrastructure, and AI, including further integrating Next.AI across our platform, to improve performance and usability for customers. We believe these investments and our upcoming Next.AI releases will support both long-term revenue expansion and operating leverage. 2026 is shaping up to be an exciting year for Nexxen International Ltd. The mix is improving. The model is scaling. Our recognition is growing, and we are entering the year with momentum, operating leverage, and multiple growth catalysts already working in our favor. Our extended partnership with V and our programmatic smart TV home screen solution are expected to drive meaningful contribution ex-TAC that we believe will scale throughout 2026 and beyond. We believe both strengthen our differentiation while positioning us for accelerated long-term growth across enterprise, CTV, and data products. These initiatives have already attracted strategic partners from across the ecosystem, and based on strong inbound interest and active discussions, we expect additional partners to follow. At the same time, we are also well positioned to capitalize on major advertising events in 2026, including the FIFA World Cup and U.S. midterm elections, building on the strength we saw during the Winter Olympics. After several years of building our platform, business, and brand, and securing important partnerships, we see multiple opportunities for long-term customer and shareholder value creation. As always, we thank our shareholders, employees, and partners for their support. We will now open for questions.
Operator: At this time, I would like to remind everyone, in order to ask a question, press star, then the number one on your telephone keypad. We do request for today's session that you please limit to one question only and one follow-up. We will pause for just a moment to compile the Q&A roster.
Operator: Your first question comes from the line of Matt Swanson with RBC Capital Markets. Your line is now open. Please go ahead.
Matt Swanson: Great. Thank you so much. Ofer, I would like to follow up on a couple of comments you made about specific formats. The first is I think we talked a little bit more than usual about having some more defensive strategies to how AI is reshaping the open internet. So if you could just give us some more color maybe on how that AI reshaping has maybe impacted the 2025 results or what you are seeing out there? And then just a little bit more, too, on CTV growth within 2026. If it is more about some of these headwinds diminishing, or if it is more about the company-specific tailwinds that you have built up for this to be more of a secular driver. Thank you.
Ofer Druker: Thank you very much for the question, and of course I will explain. So when we are looking at AI, in general, we feel that some of these effects already happen in the market. Some of them will grow over the next twelve months or so. We see that the touchpoint between the content and the user and, of course, the advertisers and the users is changing, meaning people are less surfing on the web. They are looking for answers through ChatGPT, and basically the traffic on what we call desktop is going down, and also mobile desktop is going down. So browsing in general is going down, and I think that most of the companies are talking about it and feeling it. So what we did basically in order to encounter this issue, we are increasing our efforts on CTV, which is less affected by AI, and we opened last year the first programmatic marketplace with what we call on-screen native, meaning when people launch their TV, there is a screen that shows all the apps that you can basically consume content from. On this screen, basically, the OEMs are already showing ads, but what we did, we turned this surface into a programmatic surface that we can basically manage through our DSP and connect this surface to other DSPs, like the partnership that we did with The Trade Desk, which is very meaningful, of course. And just to give you some indication, Nielsen, according to their studies and research, says users are facing this surface for about ten minutes a day. So the number of impressions that we see that is coming from V—we are already connected to Vidaa, which rebranded to V—and we see the numbers of impressions that people are generating through these platforms, it is immense. So, of course, this is something that will be less affected by AI, and we took a step last year to be the first company, as we understand it, to offer that on a programmatic level. We believe that this will help us first with AI, but also will help us to grow CTV, which is your other touchpoint that you asked about, and I will elaborate even more on that. Apart from that, when we analyze what other channels or what other type of media will be less affected by AI, we understood that in-app mobile is less affected by AI. So early last year, we started partnering with in-app mobile companies to work with them in order to place their media and to work with their publishers, and our publishers now, because we are basically creating direct relationships with the publishers, in order to place them in our programmatic ecosystem. We see very good initial results that we believe can drive immense growth in the years to come, and this area, from what we understand and see and analyze, is less affected by AI. So I think that these two channels, apart from the in-stream CTV that we are already running and apart from other things that we are already running and less affected, when we are looking at native CTV and in-app mobile, it is increasing our resilience basically to AI disruption and giving us room to grow our business in the coming years. Regarding growth of CTV, this marketplace that we spoke about, this programmatic home screen marketplace that we spoke about, is helping us to build relationships with a lot of partners in the ecosystem that are interested in order to monetize this type of media. As part of that, they will increase their work with us not just on this specific media, but also on in-stream and everything else, which will grow our presence in CTV. The fact that we are unique in our offering, and it is also complementary to what we call in-stream because this same media, which is native on CTV, is very good for performance advertising. Basically, people can buy complementary media positions on the in-stream and on the home screen in order to deliver the results, and our DSP is also very impressive in these results and performance. It is helping clients to basically grow their presence and, of course, to other DSPs to start increasing spend on CTV with us. So I think that, in general, we are in a good spot, and this marketplace will help us and is already helping us to grow our presence in CTV and overall. Apart from that, our teams are working very hard to close the gap on some publishers that are still in a process to be integrating with us in order to grow our reach. But if you check, our reach is also already very massive on CTV, and we believe that this development, this technology, this product that we are issuing is getting the attention of the big DSPs and the big brands that want to participate in that, and they will grow their spend on CTV with us in the future. Thank you. I hope that answers your question.
Operator: Your next question comes from the line of Laura Martin with Needham & Company. Please go ahead.
Laura Martin: Okay. Can we get an update on data? I know you took the V data and you put it onto The Trade Desk platform. Can you tell us what the revenue stream for data is running at these days? And then for Sagi, could you tell us IFRS revenue was 0% for growth for 2025 and down 10% in the fourth quarter? Could you tell us what it requires for your guidance to hit the sort of up 7%–8% growth rate for 2026? Thank you.
Ofer Druker: No problem. So, basically, ACR, that—hi. We are in Israel, so we are sorry that we are not in New York, but we could not basically fly to New York this time. We are staying with some of our families, of course. Anyway, when I am touching the data issues, the data point that you—when we are looking at that, ACR is becoming something that DSPs want to utilize in their platform. There are a few levels of data that we can offer to partners, and, as we indicated also in my script, we are already working with three top DSPs, which are The Trade Desk, StackAdapt, and now Yahoo DSP that joined the project, and we believe that we will be able to add more DSPs and more partners. We see this coming also not just in the U.S., but also internationally, and, of course, we will announce these partnerships in the future. It is helping us in two elements. First of all, direct revenues that are coming from the ACR and the data itself that we are basically reselling or doing activity with the partner. Basically, this type of cooperation is increasing the media spend of these companies on our media positions, which, of course, is a first priority for us. In general, we believe that this type of unique data—there is not a lot of data like that in the open web—is helping us to get the attention of brands, the attention of DSPs and SSPs, and also agencies that are increasing their spend with us in general. It is very hard to give you a number, but the net revenues of the data, of course, are high margin because we are basically selling data here. But we are looking at that as a whole, and it is very meaningful. As I indicated several times, today, data is in more than 80% of our campaigns. We are integrating data, which is one of our advantages, because when you are running an end-to-end solution and you have a strong DMP, you basically can move the data between and also the DSP and SSP with data, and enhance the results of clients and brands and generate more revenues for publishers. So it is not fair to look at it just as the money that we are selling and licensing the data itself. It is connected also to enhance spend in general on media that all these DSPs, brands, and agencies are basically working with us in order to increase their reach together with unique data that we enable them for targeting and measurement.
Sagi Niri: Thank you, Ofer. I will take the second question. So, regarding your question on numbers, IFRS, you know, is a different way of reporting things. I want to explain what we are doing on the contribution ex-TAC because it makes more sense and it is apples to apples with our peers. We grew only 3% contribution ex-TAC in 2025. We are not saying otherwise. I think that what you saw on the IFRS side is mainly because we are reporting some of our revenues on a gross basis, and some of the data that we got in 2025, I am reminding you from the previous earnings, was the performance activity, which we did. It is a non-core activity, which we are not too much focused on, and we got a big hit in 2025 on those activities. Some of them, of course, we are looking to understand what we are doing with them, and some of them probably will leave very soon, unfortunately. Having said that, I think that what Ofer just laid out with the growth engines into 2026—which are the in-app mobile partnerships that we signed already in 2025 and we are signing much more in 2026, the V investment and, for the first time, exclusive monetization of their North American inventory, the native display home screen ecosystem which we built, which is unique and nobody else has this solution because of our end-to-end ecosystem and service—brought already The Trade Desk in, and probably it will bring more demand partners and more supply partners into this ecosystem, which can be huge. So I think that having these growth engines in place and, on top, a big focus and restructure of our enterprise business and putting a lot of emphasis on the product over there—we just announced a new UI—so I think all of that will take us to a very good 2026. We are already seeing the first fruits in January, which was the best January we ever had, and February, which was the best February we have ever had. We are seeing the first signs to a really pivotal 2026. So we are quite confident that we can reach this 8% of general growth and almost 10% in our programmatic growth.
Laura Martin: Thank you.
Operator: Your next question comes from the line of Andrew Marok with Raymond James. Please go ahead.
Andrew Marok: Hi. Thanks for taking my questions. Maybe one more on the CTV topic, if we could, just to get a sense of the various moving pieces that are in the 2026 outlook between the macro, the 2026 events, the Ventura integration. Is there any sense of maybe rank ordering those in order of their importance or their upside potential for the 2026 guide? And then maybe separately, you called out the desktop video growing over 20% year over year in 4Q. How sustainable is that? We have seen that format be pretty volatile in the past. How well does that need to do in order for you to hit your 2026 assumptions? Thank you.
Ofer Druker: First of all, thank you for the question, but I did not understand the point of what you felt that is volatile in the past.
Sagi Niri: The desktop video component.
Billy Eckert: Which one?
Sagi Niri: Desktop video. What do you mean by that? Desktop.
Ofer Druker: Maybe we are not looking at the same thing, but I will explain and then tell me if I touch your concern or not. Our main revenue source and revenue generation also in 2026 will be in-stream that we are managing and selling by our own sales teams and, of course, getting a lot of demand from direct brands that are using our enterprise solution, from DSPs that are basically buying media from us. Overall, this is the majority of our revenues. We feel, as Sagi just mentioned now, a very strong January and February when you are looking at the programmatic level on all fronts and all types of media that we are running, including CTV. When you are looking at the growth that we are now going to bring into the system, it is coming from the native ads, and the amount of media that is associated with that is huge. On this ground, we basically built a partnership with Ventura with The Trade Desk, which we are very proud of to be their first partner because we believe that The Trade Desk can make a very big difference for us because they are the major enabler of the agencies in the world to buy media from companies like us also. I think that the type of discussions and relationships that we are building with them around this unique media will bring us a lot of value in the years to come. Now, this type of media—starting with Vidaa, with V as they rebranded their name now—we already see a lot of growth that will come from more OEMs and publishers that are interested in using this technology, which is making it more efficient. When you are more programmatic and you are turning your media into commodity, you are able to basically monetize much more of your space than when you are doing it manually. In the past year, most people did it with ad servers or manually selling deals on their type of media. Now they can basically integrate programmatically to their sources or our sources and generate more revenue. The second thing is also from big DSPs, other DSPs that want to join this. The first is, of course, The Trade Desk, and more will come, and the others that will come will basically increase the liquidity of the platform and will generate more demand into the platform. We believe that it is a win-win situation, meaning the OEMs that have so much media that they never monetized fully, now they can do that in a very effective and efficient manner, and the advertisers, the agencies that are basically looking at this media, looking at a new channel that they can basically trust. We are working with Ventura to create also standardization of this type of media, which is super important, and education and getting the attention of the agencies and brands into that, and it will increase the usage of the big advertisers and brands and agencies in this type of media and will grow our CTV revenue. So, again, not to confuse: the main revenues this year, in 2026, come from the things that we have done in 2025, meaning in-stream—growing it, building it more, building more relationships. Also, as I mentioned, when people will buy from us native ads, they will increase also their exposure on our in-stream media because it makes sense to run on the same systems and the same reporting. What we start growing now, our revenues, and support our growth in 2026 and years to come, will be the native ads that we are running basically on the operating system screens around the globe and mainly in the U.S. and North America and Canada. I hope that I answer your question.
Operator: Your next question comes from the line of Jason Kreyer with Craig-Hallum. Please go ahead.
Jason Kreyer: Hi. Thank you, guys. You have talked about the strengths that you have seen early in Q1, and you talked about the record January and February. I am just wondering if you can give more details on what channels are driving that strength. With that, I know you are not giving a quarterly guide, but I just wanted to try to square things between the contribution decline that we saw in Q4 relative to the high single-digit growth that you are guiding to for the year. Where is Q1 shaping up within that continuum?
Ofer Druker: We see the growth coming from everywhere, basically, meaning not a specific vertical, not a specific format. It is coming from across the board from all the major partners that we are working with. They are increasing the level of work with us. They are increasing their level of investment in media with us, which is, of course, great. Our salespeople are able to deliver very good results until now in Q1, bringing in the advertisers that we work with and others into the system. We feel that it is a combination of two—or three—things that happen. One is that the fact that we increased our infrastructure last year, almost doubled it, is helping us on the programmatic level because now people can see the real size of our media and they can buy more media from us. It is a process that is taking time. You are not lighting it in one day. It is a process of several months and a lot of investment in the data centers and so on, but we see that it is already generating results very quickly, which is great. The second thing is we are now putting much more effort also on our enterprise solution, meaning our DSP and Discovery tool, which is basically segmentation and data platform. We feel that with all the sessions that we have done with our salespeople and leaders in sales, our message to the market is resonating much better, and we deliver better results by our salespeople, which is, of course, very important, and we feel encouraged by that. The third element is the market itself, which seems to be better than we saw last year, meaning it is more positive. The sentiment is better for advertising until now, and I think that it is basically pushing all the numbers up. As we mentioned, January was the best ever. February was the best ever. The reason that we are keeping our forecast for the year and thinking about this number is that it is only two months. We want to be conservative. If it continues like that and we generate amazing results in Q1 and we see the trend going through also the beginning of Q2, we will look at the numbers for the year and, of course, adjust them accordingly.
Operator: Your next question comes from the line of Maria Ripps with Canaccord. Please go ahead.
Maria Ripps: Great. Thanks so much for taking my questions. I just wanted to follow up on Jason’s question regarding Q1. How should we think about incremental demand from the Olympics versus the broader underlying trends? Any color on that would be helpful. And then can you maybe share a little bit more color on your enterprise offering? You mentioned that you more than doubled the number of customers last year. I know the sales cycle here can be a little bit longer, but how should we think about it becoming a larger contributor to growth over the next year or two?
Ofer Druker: Thank you for your questions. I think that will help us and help people understand better what we are doing, which is great. Again, when we are looking at everything that is happening in the market and how we prepare ourselves, we are always thinking ahead in our strategy. Almost three and a half years ago, when we acquired Amobee and we turned it into our DSP—enterprise DSP—we had the idea that we need to be closer to the brands that are buying media. We need to provide them the best solution in order for them to invest in media, to generate results, to get the performance that they are looking for from their investment. We saw very big progress over the last few years. In the end, last year, and mostly in the end of last year, we also shifted more resources from other sales channels to this sales channel. We brought additional talent into the main points of engagement with the market, and we feel a very big response to that, because what we are talking about for many years about integrating data into the mix of buying media, and smart data into that, is starting to resonate, and people are looking for that. Apart from that, the Next.AI tools that we developed are very practical, generating amazing feedback and results and helping the buyers to buy media better as we see that. When you are looking at that, we believe that—yes, as you indicated—it is true that the growth cycle of these partners takes a little bit longer than when you are launching programmatic activity with someone, because they need to learn the system, they need to train, they need to gain confidence and start moving their budget into that. But a good indication is when we are able to get many more clients to test and run on this platform, and we believe that this is the main growth engine for us in the years to come, meaning we will work with more and more agencies and brands for them to adopt our technology, to generate great results, to run and to incentivize them to run on our media, consume our data, and work together with us in order to achieve that. All of that together is driving great results. Regarding your question about CTV and the quarter, we believe that it is the beginning of the year, so it is two months. This year, we are reporting earlier than we used to, but we see that the fundamental changes we have made with our sales, with our platform, with our programmatic, with interesting products that are able to gain the attention of the big DSPs and brands to work with us, are super important and are driving results for us across the board. We believe that it is something that will continue during the year and the years to come. I hope that I answered your question.
Operator: Your last question comes from the line of Barton Crockett with Rosenblatt. Please go ahead.
Barton Crockett: Thank you for taking the question. Since this is the end, maybe one and a half or so. I was curious about your guidance. I was wondering if you could parse out a little bit what portion of the growth you are seeing is political, and in general, how the political that you are seeing for this year would compare to what you have seen in the past, and whether you have any early indications, given that there has been some meaningful activity in some of the early primaries in Texas, whether that gives you any learnings in terms of how to think about the political contribution to your growth this year. Also, your growth— you have spoken in the past about a desire for acquisitions, potentially. I assume that guide is excluding any acquisitions that you might do, but if you could confirm that and maybe just update us on where your current stance is about interest in acquisitions, given there has been a lot of reset in valuations of late and maybe rethink as the LLMs ramp. Where you stand on that would be interesting. Thank you.
Ofer Druker: Of course. Regarding political, in general, when we are looking at what we learned to do in the last couple of years and in the last round of the last election, we saw that basically our setting—that we have a strong segmentation tool and data that enable the partners to onboard their data in order to target their audience to general channels and so on—is very useful for political use. We built dedicated teams for that. Already last election, they generated the best ever results that we saw from a political cycle. Our focus right now is not taking it into account in a very big manner because we spoke about the first two months. It is not strong in political yet, but we feel there is a lot of interest. There are a lot of partners that are joining our platform now in order to use our technology, which is a great solution for DSPs, which enables you to target audiences in a very smart manner, with a segmentation tool that enables you to launch your data in order to reach the users that you want to reach in these campaigns that you are running. Of course, the media reach that we can offer to these clients. We believe that this political season will be strong and assist us. It is always dependent on what will happen from a political level to see how much money the parties will engage in these campaigns, but we have a sense that it will be a fairly good and rewarding season that will enhance our revenues in 2026. Regarding your other question about acquisitions, we are always open to look around and see. We do not have any target in our mind, and, of course, if we did not speak about it, we are not sure it is active. But we are looking always at how we can grow organically but also non-organically. There are many ways to do that, and our eyes are open in order to see what can be done, because we believe that in this market, of course, you need to evolve all the time and to add mostly size in this case, because we feel that we have the technology that we need in order to compete and win in the market.
Barton Crockett: If I could just follow up, on the commentary you had about the DSP pacing up here as we start the year, my recollection is that the DSP really started to hit you in the middle of last year. So the fact that it is pacing up even before you comp that is interesting. Does that imply that you are on pace to recoup everything that you lost from the DSP as you go into the back half, given that you are pacing up here to start the year? If you could elaborate on that, it would be interesting.
Sagi Niri: Hey, Barton. Yes. First of all, this one DSP that hurt us in 2025, mainly in Q4, was isolated. Yes, this DSP is now going back into the level of spend that we are used to. It is not there yet, but it is on the right trend. Hopefully, yes, if they will continue as it started with this DSP and, of course, all the other programmatic lines of business that Ofer discussed and shared, we can recoup most of the money. Hopefully, until Q4 it will be the same, but hopefully we can recoup most of the money that we got hit in 2025 for sure.
Operator: That concludes our Q&A session. I will now turn the call back over to Ofer Druker for closing remarks.
Ofer Druker: Thank you, everyone. Again, sorry for some of the miscommunications—sometimes maybe a bit of a line issue or something like that. In general, we feel that 2026 started very strong for us. We had a record month. We feel that it is across the board. It is not coming from a certain partner or a certain client or a certain vertical. It is across the board, which is great. I feel that it is coming from our technology that is being adopted more in the market, our people that trained, the people that we added adding the value that we expected them to add, and we feel that also the messaging, the brand, is starting to take off, which is great news for us, and we feel positive about 2026 right now. Thank you very much.
Operator: Ladies and gentlemen, that does conclude our conference call today. Thank you all for joining, and you may now disconnect. Everyone, have a great day.